Operator: Ladies and gentlemen, thank you for standing by. I am Gelli, your Chorus Call operator. Welcome, and thank you for joining the Alpha Services and Holdings conference call to present and discuss the First Half 2024 financial results. [Operator Instructions] And the conference is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Alpha Services and Holdings management. Gentlemen, you may now proceed.
Iason Kepaptsoglou: Good morning, everyone. Thank you for joining us. I am Iason Kepaptsoglou, Alpha Bank's Head of IR. And I have with me today our CEO, Vassilios Psaltis; our newly appointed Deputy CEO, Lazaros Papagaryfallou; and a fresh addition to the team, our new CFO, Vassilios Kosmas. Slightly different format this time, Vassilios Psaltis will lead the call summarizing our progress and giving you a few updates on the outlook. Lazaros Papagaryfallou will then go through a more thorough updates on the guidance for the year. And then lastly, Vassilios Kosmas will give you more details on the quarter. As ever, we will take Q&A in the end, and we aim to finish within the hour. Vassilios, over to you.
Vassilios Psaltis: Thank you, Iason. Good morning, everyone, and thank you for joining. I would like to also use this forum to welcome Vassilios to the team. We have been working closely with him over the last few years. He's well known to us. His skill set and his mindset complement greatly the rest of the executive bench, and we're very glad to have him on board. The delegation of the CFO responsibility to Vassilios Kosmas will also support Lazaros in delivering on the wider, more complex agenda that he oversees. His appointment as Deputy CEO will ensure that we can enhance the value that we create and deliver as an organization. And with that, let's move to today's agenda on the second quarter results, starting with Slide 4, please. In the first half of the year, we are proud to have delivered recurring earnings of €437 million, which translated to a 13.6% return on tangible equity, and €0.18 of earnings per share for our shareholders. Our top line is resilient with net interest income remaining strong. And as we continue to make good progress in fee income generation, supporting our solid management of operating leverage and ensuring an improvement in provisions. We continue to grow our loan and AUM balances and to position the business to maximize the recurring value we can create for our stakeholders in a sustainable way. Our capital buffers continue to grow steadily with 118 basis points of organic capital generation, reaching a reported level of 14.8% in the second quarter or 16.6%, when accounting for the completion of pending transactions. These numbers are net over 35% accrual for dividends out of 2024 profits, up from the 20% accrual of 2023. As a reminder, the distribution out of the 2023 profits has been equally split between a cash dividend that was actually paid yesterday, and a buyback that has now been approved by the AGM and will commence shortly. Supervisory approval for the reestablishment of distributions to shareholders is one of the major milestones reached this quarter. The other is the achievement of investment-grade status after 14 long years. Both are external validations of our full return to normality. The journey has been long, but we can now look forward to a future of higher recurring profitability, expanding capital buffers and increasing shareholder remuneration. Moving on to Slide 5. Let's see an update of the progress we are making on two pillars of our strategic plan, on wholesale business and on asset management. There's a lot of work happening on the operational side. We're dedicated in the arrangement of our business digital offering, as we promised in our Investor Day. Integrating new automations and innovative solutions focused on trade finance and payments. We have already achieved nearly half of the commitment, but most importantly, we are delivering solid digital solutions. We continue to earn top roles across major investment-related transactions, and we have delivered promptly numerous funding programs designed for SMEs, leading our bank consistently in top positions. We continue working in a serious and methodological way, and we are confident we will reap the benefits of these changes in the coming quarters and years. But allow me here, at this stage, to stress a few prospective financial points as well. Loan growth in wholesale is running at 6% year-on-year. This is really a healthy level, and we expect it to accelerate on the back of a very strong pipeline, that is well above €5 billion and more than €2 billion already contracted. This quarter, we have grown less than the market, and we are obviously aware of that. At the margin, this has been the case vis-a-vis some of our peers over a number of orders. This quarter is a very good example to showcase the underlying trends behind this process. Our net credit expansion this quarter has been impacted by significant level of one-offs, mostly in the form of loans indications. These are loans that we originated, and we are remunerated for the advisory related work that we did for our clients. Syndication allows us to redeploy capital in a more accretive manner, whilst this process has not been always reciprocal in the market. At the same time, we are seeing some pressure in the market. Yet our ability to generate fees and to optimize capital usage has meant, that the returns we generate on an allocated capital basis have improved. We have said this before, and allow me to say it again. We prioritize profitability over volume growth, as we need to ensure that our commercial policies are accretive to shareholder value. Let's now turn to Slide 6. Moving to our asset management business, to take stock of the improvement we have been seeing there. This subsegment is booming at the sector level and growth is coming on the back of structural trends that we have discussed with you before. We have seen our mutual funds go up by 50% in the last year and tripling since the onsets of the growth trajectory at the end of 2020, resulting in a significant uplift in revenues and profits from this business. Our franchise positioning and product innovation has allowed us, not only to keep our #1 position, but to expand our market share, reaching 25%. On the next slide, then we can look at the year-to-date trends in net sales. And there, you can see that we have captured 1/3 of the market. This demonstrates the quality of our product factory, the client access of our relationship managers and the receptiveness of our affluent clientele to investment themes. But I think we should also highlight that we are making good progress on the institutional front as well. Bear in mind, that this is a segment that beyond the state, is really at its infancies, and has only broken grounds recently on the back of legislative changes. Our leading offering poses a poor position to continue to capture a good portion of this growing pie as well. On to Slide 8, a brief update on our partnership with UniCredit. As you will recall, last year, we announced the outlines of our commercial agreement with UniCredit. The teams have worked swiftly on the operationalization of the agreement. 8 months after the original terms were announced. The documentation for the merger of the Romanian subsidiaries has been signed. While the framework for the offering of the UniCredit onemarket mutual fund in the Greek markets has been finalized, and the products are currently available to our customers throughout our network. On the wider commercial agreement, we continue to expand our relationship on trade finance guarantees and letters of credit. We have launched two structured note issues for our private banking clients and are working more closely on clearing trading and treasury, factoring as well as brokerage. As a reminder, we expect the transaction to be EPS neutral, before taking into account any upside from the commercial agreement. The transaction also adds more than 100 basis points to capital and best testament to our focus on improving the capital allocation across the business. Our partnership with UniCredit are forced giving us the opportunity to drive innovation in the Greek market to be exposed to international competition, and to put ourselves at the forefront of European banking developments as a member of an extensive pan-European network. This is an opportunity that we will leverage to enhance the value that we create for the benefit of all of our shareholders. And turning to Slide 9. This is on guidance, and Lazaros will share with you further details, but allow me to give you an overview of the three underlying driving forces. First, reality has proven to be better than we expected. This is true for the outlook of interest rates, as well as also for the pace of migration towards time deposits for retail customers. These exogenous factors make our top line more resilient than previously thought. Secondly, there are specific areas where we have outperformed our internal targets, most notably in the AUM growth, where we have extended our lead and delivered this year's target in just 6 months, but also in the handling of the nonperforming exposures, where management actions have delivered a stronger pipeline of curings. Finally, we have been able to derisk our NPE plan. Our target for the plan was to get our 6% and NPE ratio down to 4% in 3 years, and we have delivered more than half of that reduction in just 6 months. This has come at a modest cost, but as you can see from our unchanged guidance for book value and regulatory capital, we have been able to absorb that within our own resources. The result is that we expect to deliver better recurring earnings and a higher level of sustainable profitability, getting us closer to where we aim to be, sooner. Lazaros, the floor is yours.
Lazaros Papagaryfallou: Thank you, Vassilios. Before we delve into the details, let me just clarify one thing. We are, today, only providing you with an update to our guidance for 2024. Obviously, some of the variables discussed might have a read across to 2025 guidance and beyond. But to be clear, we are not upgrading our [upgraded] guidance beyond 2024, as we haven't yet run the detailed budgeting exercise. We expect to update you on our guidance beyond 2024 with our full year results. With that out of the way, let's turn to Slide 11. Let me now take you through in more detail the factors impacting our Change 2024 guidance, starting with net interest income. We now expect 2024 to be only marginally down versus 2023 compared to our previous guidance of a 5% decline. To a small extent, this is a result of a higher interest rate environment, as we now expect three cuts from the ECB this year versus four before. Given the timing of cuts and the evolution of market rates, we now expect fee income to land some 10 basis points higher. Our interest rate sensitivity is relatively low and has actually come down during the year, due to the active management of our balance sheet, with 25 basis points of lower rates now translating into €12 million of lower annual interest income, down by 1/3 versus year-end. Note that we don't expect the marginally higher rates to have a material impact on the growth of the main balance sheet items. The more significant impact on net interest income, however, is the evolution in the transition of current accounts time deposits. We now expect time deposits to rise to 29% of the total by year end versus a previous expectation of 32%, leading the overall deposit EBITDA lower by circa 4 percentage points at 90%. Slide 12 on fees. We have had a strong start to the year, particularly on growth in assets under management, capturing a larger-than-expected market share in mutual funds allowing us to upsize our ambition for the year. We have also seen increased investments in unit-linked products, and we have made good progress in our cooperation with UniCredit. Disbursements and transaction activity have seen strong growth in line with our expectations. Overall, we now expect fees to be above €400 million. Slide 13 on asset quality. Here, we need to discuss two separate updates. The first half of the year has seen strong organic trends with active management portfolio, resulting in a significantly lower underlying cost of risk and originally expected on account of a higher level of curings. We, thus expect, to end the year with the cost of risk to be below 70 basis points, rather than around 75 basis points. Our NPE reduction plan has been built on the premise that we need to be able to deliver our targets organically, without recourse to the market, but we have been clear that we will be looking at inorganic opportunities as and when they arise. We have been cognizant of the fact that there is room for further improvement of our asset quality ratios towards lower levels. And this quarter, we have taken a leap forward in that direction. As a result, we expect the year with a circa 4.5% NPE ratio lower than our previous guidance of circa 5%, yet maintaining our coverage target at circa 50%. And lastly, on Slide 14, and capital to bring it all together. We will deliver the accelerated NPE reduction fully, within existing capital resources and maintain our 16% target for the common equity Tier 1 ratio by year-end. And note that capital ratio is after accounting for a dividend accrual at a rate of 35% of 2024 profits, we are thus, fully on track to deliver the expected distributions to our shareholders, while ensuring that we deliver higher levels of recurring profitability and a more resilient balance sheet. And with that, I will pass the baton to Vassilios as the new CFO to talk about the results.
Vassilios Kosmas: Thank you, Lazaros. Thank you, Vassilios. Glad to be on board and look forward to the challenge. Let's turn to Slide 16, please. So starting at the bottom, reported profits came in at €110 million, obviously impacted by the acceleration of the NPE plan. If, instead, we look at normalized profits, the quarter came in at €214 million, proving the resilience of our profitability despite top line pressures. And overall, for the first half of the year, we're tracking favorably versus 2023 with a normalized profit of €437 million, up 23% year-on-year. Next slide on our balance sheet. Our tangible book value grew 11% year-on-year and 2% in the quarter, whilst our regulatory capital is up 10% over last year's level. Remember, the regulatory capital accrues the intended 2024 dividends of 35%, while the June tangible book value has not reflected the 2023 dividend payment, which will be reflected in Q3. We'll look at most of these items in more details in the following slides, but allow me here to say that our securities book has grown by about €0.9 billion this quarter, quite late in the quarter, if I may add which is about half of the increase we have budgeted for the year. Turning to Slide 18, we can see the main components of our recurring profitability. Pressures on the top line are there, but lesser than expected. Fees are evolving, notably better than expected. On operating expenses, we have gone up this quarter as expected, and our cost of risk at 64 basis points, in the first half, as Lazaros mentioned, is the lowest the bank has seen since the onset of the crisis a decade and half ago. Slide 19 on net interest income. In Q2, we saw a marginally lower contribution from loans as lower rates start to kick in. We also have lower contribution for NPEs as we manage the portfolio down. There was a further pickup in the contribution of the bond portfolio on account of reinvestments, as well as growth towards the back end of last quarter. Note that we have grown our interest rate swaps positions to €7.5 billion this quarter. Combined with the growth in the securities book, this means that the ratio of fixed assets to fixed rate liability now stands at 80%, which has resulted in lower NII sensitivity, as mentioned by Lazaros. That increase in the derivative position has led to higher cost of the swaps and a headwind for the quarterly evolution of NII. And then on the liability side, it shouldn't come as a surprise that both the cost of retail and wholesale funding has gone up this quarter. Spreads are coming in tighter, but we are increasing the quantum we carry in order to meet MREL requirements. This quarter, the impact is a mix of seeing the full effect of a [indiscernible] debt issuance back in February, as well as the refinancing of the Tier 2 in June, where the outstanding €130 million of the old instrument will be called early next year. Until then, we're carrying the extra burden. On deposits, things are evolving better than expected, but we're still seeing higher balances as well as the pricing of the time deposit book upwards. Not because strong book rates are going up as they aren't, but more so as retail time deposits were significantly deeper a year ago. This product has effectively come to an end this quarter, so we don't expect any incremental headwinds here. Moving on to Slide 20 on fees. We have seen growth of 10% versus the same period last year and 3% versus last quarter. The growth we have seen in our assets under management and the resulting improvement in asset management fees, are a big component, especially for the annual improvement. Cars and payment fees are also up due to higher transactional activity. A good portion of the quarter trend can be attributed to seasonality, especially on account of the extended tourism season in Greece, but the yearly trend also suggests the structural potential for the source of revenue. Lastly, a word on business credit-related fees. Disbursements are growing, both on an annual as well as a quarterly basis. So one would expect higher figure here. There are two reasons for the decline we've seen. In part, it relates to the parts of loans we have originated this particular quarter, that carry lower fees. But to a greater extent, it relates to the accounting treatment of certain fees, but we'll see a spread, a higher benefit through effective interest rate and thus, net interest income over the life of the loans. Slide 21 on costs were trading lower by 1% on a year-on-year basis, but they are up versus the previous quarter. Staff costs have grown both in Greece and our international business as wage inflation and capacity buildup in certain functional areas have impacted our numbers. This was in line with expectations. We've also seen an uptick to the cost of connective insurance policy we have followed [Technical Difficulty] inflation, as well as increase in training and traveling costs. General and administrative expenses have seen a normalization of IT and marketing expenses, following a slow start to the year. At the same time, this quarter has been impacted by higher property valuation fees and other third-party professional fees. Finally, whilst there's no change in depreciation in Q2 given the level of investment we are putting into IT, we should expect this line to continue to drift higher over the coming quarters. Slide 22 on loans. Our performing loan balances are growing at 4% on an annual basis, roughly in line with our expectations for the year. This quarter has been impacted by just over €300 million of loan syndication to our peers, excluding which we have -- we would have seen positive net credit expansion. Repayments remain elevated given the prevailing interest rate environment. Origination by corporates, whilst retail has turned the corner, and for the second quarter in a row is posting some mild, positive, net credit expansion. At the bottom right-hand side, we're showing how net credit expansion has been evolving for the business segment on a rolling basis. I think it is evident from the chart that new business comes in waves. The current run rate is very much in line with our guidance for the year. The pipeline for the year remains solid, and we are confident we will continue to build on the card momentum and deliver on our guidance. Turning to Slide 23 in customer funds. Trends have been resilient this quarter, up 2% with annual growth at 8%. We have seen solid inflows into our deposit base from corporate customers, whilst some individuals when accounting for the growth of AUM customer funds have actually increased in the quarter. AUMs continue to grow at around 40% year-on-year, depending on which category we look at, and we've been able to achieve a 30% market share in net sales of mutual funds for the first half of the year. Note that the valuation effects mainly related to equities under custody with the valuation effects for the remaining categories being muted not positive. The mix between time and core deposits have been stable for the better part of the year now, hence the revision to our guidance for 2024. And with that, let's move to asset quality on Slide 24. In terms of organic flows, we have seen another very solid quarter, includes our consistently below the €200 million mark, and outflows have been consistently higher than that, so we continue to see organic deleveraging of the book and a solid cost of risk. Of course, the revenues this quarter is the reversification of [indiscernible] booked to assets held for sale and the associated loss recognition of circa €100 million. I think, quite clearly that we have the capacity both financially and technically to deliver on what we promise you, which is an NPE convergence within industry average without an adverse impact on shareholder value. As a result, our NPE ratio stands at 4.7%, already below our original 5% guidance for the end of the year, with coverage improving slightly to 47%. Then finally, on capital, on Slide 25. Our organic capital generation for the second quarter stood at 58 basis points. We continue to fund growth through internal means, whilst our capital generation capacity is further levered through the recovery of DTAs. Obviously, NB transactions consume part of the organic capital generation. RWAs were broadly flat in Q2. Now that we're accruing 35% of profit for dividend payments so that our 14.8% CET1 ratio is net of that, while pro forma for remaining transactions is higher at 16.6%. Slide 26. We continue to extend our buffers versus regulatory capital, all requirements and were well ahead of the final therapeutic for MREL. Lastly, on Slide 27 to tie it all up, we remain squarely focused on maximizing the value that we are adding to our shareholders. Our earnings are sustainable, and should be on an upwards trajectory. We've done our homework and have reduced our sensitivity between the spaces. Our franchise is well aligned with the growth prospects of the sector. And we will continue to show strong discipline on maintaining our efficiency and improving our asset quality profile. Again, as Lazaros mentioned, we have not updated the guidance beyond 2024, but we're confident about the prospects of our profitability. Increased profitability and capital discipline are expected to lead to significant capital creation, which will be used to support the expansion of our balance sheet and to remunerate our shareholders. And with that, let's now open the floor for questions.
Operator: [Operator Instructions] The first question comes from the line of Ismailou Eleni with Axia Ventures.
Eleni Ismailou: Congratulations for the results. Another congratulations from my end, on your appointments. And with that I'll move to a couple of questions that I have for this quarter. My first question would be on cost of risk. As you're guiding towards a level of lower than 70 bps for the full year. And I say that in the first half, you're well below this guidance. But can you speak to the trends that you've seen in the first half of the year and what you expect will be different in the second half? So that would be question number one. And my second question would be on excess capital use. As we continue to generate high levels of organic capital. And as you're guiding for a payout ratio of 35% out of the full year '24 profit, what are their capital deployment strategies are you considering? Will the focus be more organic or inorganic growth, any buybacks? And on that note, any comments you could make on the recent headline noise around acquiring a stake in back of [indiscernible]?
Iason Kepaptsoglou: Thank you, Eleni. I'll be the difficult position to try to differentiate between the two Vassilios. Vassilios Psaltis probably will go first on the deployment of capital, organic, inorganic and a comment on the rumors for Bank of Cyprus, and then we'll have Vassilios Kosmas on asset quality guidance and how we expect H2 to evolve versus H1.
Vassilios Psaltis: Eleni, I think we are really delighted that we are implementing our plan, and we can stick to the guidance that we have given also in terms of the dividend assumption for the 3-year period, as well as also the in tandem creation of capital north of the management buffers. In terms of the utilization of that. I think you have clearly seen, for example, that in this year, because this is indeed circumstantial. This year, we have opted for splitting the dividend between a cash dividend and buyback. The reason for that is that it is, I would say, very visible that there is a disconnect in terms of the multiple that we valued in the market. And as we have said before, this is the one period where the management is legitimately -- can legitimately talk about its valuation. So that's why we are implementing that. And obviously, at any particular juncture, we may need to reconsider that. So that's -- the buyback has a valuation angle with it. Now in terms of the overall strategy that we're having, I think I will repeat what we have said before. The priority that we are having is for organic growth. That is the plan -- that is the plan that we're following. And as long as we are able to achieve capital [Technical Difficulty] that, we are happy implementing that. Now having said that, you appreciate that it may come a point where you will need to roll that plan into a fresh timeline. And at that juncture, potentially, one will need also to think differently with more optionality on this one. Now, as far as we are concerned, number one, we, as a bank, and I would say also as a team, we have a very strong track records on only engaging in inorganic when there is real value that can create the bank, and how diligent we are in putting those rigorous financial tests for us. You have seen that in the transaction that we [indiscernible] done with UniCredit in Romania. So as we stand like that, the whole focus is on delivering on this one. That does not mean obviously that we are not in the market hearing and assessing any potential opportunities, but be rest assured that this can -- will only be done under very strict financial criteria.
Vassilios Kosmas: Eleni, picking up on your question on cost risk, you're right to pick-up that our guidance does not does imply a pickup of the cost of risk for the second half of the year. On the other hand, 70 basis points is not a leap from where we currently stand, especially if you consider the second half seasonality. We're still confident on our current quality of the book. On the other hand, there are several uncertainties out there, geopolitics. So, I want to remain cautious on the outlook. I hope that answers the question.
Eleni Ismailou: Excellent. Thank you very much for your answers. And again, congratulations for the strong set of results.
Operator: The next question is from the line of Sevim Mehmet with JPMorgan.
Mehmet Sevim: I have a couple of questions, please, and specifically on loan growth. Thank you very much for the comments earlier. I do understand the one-offs in the quarter, but still even if we exclude those, I think the growth looks a bit more muted than at the peers. So I'd love to understand why the growth is slower. Is this a function of pricing? Given maybe your more expensive funding base overall? Is it a function of timing? You did mention the pipeline or anything else? And also, Vassilios, on your comment earlier that you prioritize profitability over volume growth, is this a general comment on the overall approach? Because we did hear this, obviously from you, a few times in the past? Or is it signaling anything in the near term when it comes to your appetite versus what the peers are doing right now given the convergence there? And maybe the second part of this question would be how you see now your full year target of 4% after the first half delivery.
Iason Kepaptsoglou: I think Lazaros will take the question on the guidance for loan growth and probably answer some of the parts of the remaining question you asked about, the funding base timing, and one-offs and our performance versus peers. And I suspect that Vassilios might want to add something on the comment that you made about profitability versus volumes.
Lazaros Papagaryfallou: Indeed, in the first half of the year, you have not seen balances growing. But we are confident that we are meeting our full year guidance on net loans of €38 billion. This is a function of a couple of things. To start with, the first half of the year has been impacted, as Vassilios explained, by certain syndications to the market, where we have led the syndicate and we have earned our fair share of fees in the respective transactions, but we have syndicated. It has also been affected by the two equity transaction at overall. If you look at the underlying trends, we are confident that these trends are leading towards our rear-end targets. To start with disbursement, disbursements on both wholesale and retail are strong. In wholesale and corporates, you have seen a good growth by 4% compared to last year, the respective period. Whereas, in individuals, you have seen a 55% increase in disbursements. So blended 7%, and when it comes to wholesale, as it has been explained during the call, we have a pipeline that has been agreed and contracted to a very good extent, leading towards the balances of that kind of support our guidance for the full year. A good part of that has been already contracted and will be disbursed in the second half of the year towards the end, as initially anticipated. In retail, where we have seen a strong growth of disbursements, I mean, after quite a few quarters, we have seen also net loan additions and positive growth on various products like mortgages and consumer loans as well as small business, which kind of signals that the market is turning in this respect. Now, your second question was about our policy choices, profitability versus volume growth. And I'll pass the floor to Vassilios to comment upon.
Vassilios Psaltis: Well, that's a general comment. Obviously, we can -- and we are tactical in certain situations. But we are quite cognizant of the fact that, given that we may not have the flexibilities that other peers are having in terms of churning some of the -- some of the resources that they're having towards that direction. We are indeed the most disciplined in the market. So that's a general statement. But as I said, we do have fee strength, we do have the access, and we can, and are tactical whenever within this is appropriate. What is mostly important though is that also in these cases, we choose those that in terms of the overall return on the deployed capital, we are above the thresholds that we put ourselves. I think that's the most important takeaway from [indiscernible] in that. One word also in terms of the disbursements, because I think the Greek market, given the vast underinvestment that we have experienced over the last few years, we are seeing a market which is very much skewed towards investment vis-a-vis working capital. An investment for, in order to be financed, it needs really a long incubation period in order to understand the project, assess the risks. And at the end of the day, reach an agreement with the client, and then it takes a lot of time until the amount gets dispersed. And particularly, since COVID, where also there are certain delays in terms of the equipment to be delivered. So that means that you cannot really be -- you cannot micromanage every quarter because at the end of the [Audio Gap] this is the hand of the clients. What we are doing is that, we are focusing on the overall pipeline. And you will see, as I said, this is already a €2 billion contracted pipeline, out of which there are certain really milestone projects that we have been able to pull in this quarter. So we are extremely confident as far as this point is concerned.
Mehmet Sevim: This is super clear. If I may just follow up at risk of huge generalization here. Do you observe any differences in the market in front book pricing of corporate loans in general, may be driven by, for example, again, bank's funding basis and the comfort that they have?
Vassilios Psaltis: Well, funding not necessarily. I think we all have access to funding and overall the overall cost, I think not really is pretty much of a difference. I think it is rather in the way that people approach the pricing risk. I think that's first and foremost what it is. And mind you, we're talking about investment loans. Investment loans are also longer dated. So if you are giving some spread, which is not rightly priced, it stays with you for a number of years. It's not like a working capital facility, which you can refinance anytime.
Operator: The next question is from the line of Butkov Mikhail with Goldman Sachs.
Mikhail Butkov: Thank you very much for the presentation, Vassilios and [indiscernible]. I have two questions. One is on -- a follow-up on your capital allocation strategy. If we could touch a bit, do you see any more opportunities on NPL sales? And how your portfolio of NPEs look like now? And also comparing -- taking on tack on the last NPL sales, did it come bigger than you originally expected? Or when we discussed this in the first quarter, or it was more like in line with the expectations with regards to NPL sale portfolios, which you gave previously? And second question is, you have-- you have a strong growth in terms of your assets under management. Do you see an active -- an immigration from your term deposits into the assets under management? And is that captured in your -- how that captured in your previous guidance on time to total deposit mix?
Iason Kepaptsoglou: Okay. We were hearing you with a few interruptions, so I'll try to repeat the questions, just to make sure we're all on the same page. So, I think, the second question related to whether we are seeing deposit migration into AUMs effectively? And whether that is going to affect or is affecting our projections for the mix of deposits going forward? I think, Lazaros, you can take that question. And then the first question was trying to, kind of, connect allocation decisions with future potential NPE sales. You've also mentioned that the NPE reduction that we've seen inorganically is bigger than expected. We've never guided for inorganic reduction. So this is something that we have delivered over and on top. So I think we can stick with the connection between capital allocation and potential future NPE sales. So Lazaros, if you want to take the floor on the AUMs question first.
Lazaros Papagaryfallou: Indeed, there is growth in AUMs, and some of that comes from our existing clients who hold deposit balances with us. And yes, that is baked in into our year-end projections. So we take into account both the transition of deposits to AUMs, as well as the transition of core deposits to time deposits. As far as the latter is concerned, we see a slower pace compared to what we had anticipated earlier this year. So we now project group time deposits trend towards 29% of total deposits by year end. [Audio Gap] which is almost 3% points lower compared to what we had in mind in the guidance. Earlier this, similarly, when it comes to AUMs, we expect further growth, which, however, is dependent on our marketing efforts and campaigns we launched. And in the first 6 months of the year. We have launched some quite good campaigns on investment products targeting further penetration of relevant customer segments. And we're quite happy with the progress that we have seen, by not just growing our balances, but penetrating the kind of client segments we want increasing their loyalty to the group when managing the total wealth.
Iason Kepaptsoglou: I think, Vassilios Kosmas on the NPE sales.
Vassilios Kosmas: So on the NPE sales, I mean what we're reiterating is the fact that our organic profitability is growing at the faster -- based on anticipated but created a buffer for us to do, to accelerate our NPE deleveraging plan, without any impact on shareholder value and tangible book value. So in effect, we're currently seeing opportunities to further deleverage the NPE book. This, we believe, brings us closer to peers as a profile and increases shareholder value. While on the other hand, we don't bear an additional cost to this -- to from long of these losses because the organic profitability. Hopefully, because the question was not very clear. Hopefully, that answers your question.
Operator: The next question comes from the line of Kemeny Gabor with Autonomous Research.
Gabor Kemeny: This is Gabor from Autonomous. A quick follow-up on the NPE reduction, please welcome reduction in our NPE ratio. Did I get it correctly that you see room for further NPE cleanup in the foreseeable future, in which case we could see further welcome reduction in your NPE ratio this year? Another question would be one of your peers talked about DTC reduction potentially in an accelerated manner? The other day, meaning, making possibly voluntary deductions from capital to accelerate the DTC reduction. Is this something you have considered and this is something which you see might facilitate a quicker increase in your dividend payout?
Iason Kepaptsoglou: I think, Vassilios Kosmas will take the first question on whether we see further room to accelerate NPE reduction. And I suspect that Lazaros is likely going to comment on the DTC potential acceleration.
Vassilios Kosmas: Two points on NPE reduction. The first point is that, as you can see from our organic flows, we do see opportunities for further reduction in NPEs organically. It's mild, but it is out there. And then on NPE transactions, as we said, we want to remain a bit opportunistic, in the sense that we do see the gap, but we will only jump on the opportunity, assuming the economics are there and make sense. We don't want to fully deleverage the book at the expense of shareholder value. Lazaros, to you.
Lazaros Papagaryfallou: On deferred tax credits, this is something that we have discussed again on previous calls. You have seen our organic capital generation, which is quite significant on a quarter-by-quarter basis. You have seen in the first half of the year, 118 basis points of organic capital generation, leading to higher and higher buffers versus the management target, which I repeat is 13% over common equity 1, whereas pro forma for transactions and RWA relief in the incoming quarters is projected at 16.6%, which implies that we are already there in terms of not just having our management target met, but building significant capital buffers, giving us optionality for further shareholder remuneration and of course, implementing our business plan. The issue of the quality of capital has been discussed in, with our regulator. As projected in our plan, our organic capital generation on the back of profitability, sort of takes care of the lower contribution over time of DTCs to common equity Tier 1. By 2026, we do project DTCs over common equity 1 whereas, by 2029 to be below 20% as we currently stand by amortizing a deferred tax credits as projected in the law. Having said that, [indiscernible] with this organic capital generation to do more in terms of amortization, getting to a better quality of capital, in order to enhance our chances for even higher distributions of capital to shareholders. Goes without saying that we are thinking always on the back of value, and anything that we do needs to be value accretive for our shareholders.
Operator: Next question is from the line of Boulougouris Alex with Euroxx Securities.
Alex Boulougouris: A quick follow-up on the deposit transition. It seems that time deposits are flattish Q-on-Q, do not seem to be growing, so is the 29% time deposits to total that you assume for the full year, a bit conservative and even more for the outer years, '25, '26.
Iason Kepaptsoglou: I'll start with caveating any answer. We have not reiterated or restated guidance for 2025 or 2026. But you see on the slide, simply a reminder of what we presented in March. With that, I'll pass the floor over to Lazaros.
Lazaros Papagaryfallou: Hello, Alex, indeed, it seems that, that is structural in the market as we see. The transition to time deposits is lower and may remain lower at the end of the day compared to what we had in the plan. So, we now project time deposits to account for a smaller percentage of total deposits throughout the planning period.
Operator: Our next question is from the line of Iqbal Nida with Morgan Stanley.
Nida Iqbal: I just have a few small follow-ups, please. Your NII sensitivity is we reduced to €12 million versus €18 million previously. Can I please understand the drivers behind the lower sensitivity? Is it hedges? Is it increased security? So that's the first one. Secondly, I just wanted to follow up on the shift into AUMs. Clearly, this is a trend that we're seeing across all of the great banks. But in case of Alpha specifically, you're gaining market share as well. So just wanted to get some more color around perhaps what you're doing differently to drive that market share gain. And then thirdly, just looking beyond loan growth for this year, what are your views in terms of where the upside surprise could come from, as you think about '25, '26, could there be a faster-than-expected rebound on the consumer loan side?
Iason Kepaptsoglou: Thank you. Right. So for the benefit of the audience here, I'll try to restate your questions, obviously, but line again. NII sensitivity down by 1/3 to €12 million from '18. Why, what's happened? The second question relates to the safe to AUMs and why we're able to actually grow our market share there? And then the last question related to any potential upside risks to longer-term loan growth coming either from -- I think you just mentioned consumer, but I expect you're referring either to consumer or mortgages given that corporates are growing. So for the first question on NII sensitivity, I'm going to go to Lazaros. And for the other two questions, Mr. Psaltis will take them.
Lazaros Papagaryfallou: With regards to NII sensitivity, we have added hedges from €1.5 billion towards beginning of the year was €7.5 billion as we speak. The run rate, the cost of carry of those hedges is approximately $9 million a quarter. And the sensitivity for the performance of these hedges is that, for every 25 basis points of lower rates, we have €4 million less cost of carry. That means that at 50 basis points lower rates, there will be no more cost of carry for those hedges, and we'll be earning on the fixed rate asset component. And given higher rates, we have the opportunity to add those hedges at better rates to the benefit of our NII going forward. On top of that, we have added fixed-rate securities, bonds, €0.9 billion in the second quarter, reaching a good portion of our total budget for the year, increasing overall the fixed rate assets to fixed rate liabilities ratio from 70% up to 83%, which kind of signals our strategy towards managing for lower rates. And overall, currently, given those initiatives, the overall sensitivity to 25 basis points, lower rates has been decreased down to €13 million, up from €18 million, so 1/3 lower.
Vassilios Psaltis: Now in terms of the AUM, Nida, Greece admittedly is a very mature market. I mean, we are really standing at the first baby steps, I would say, in terms of educating our clients. And when I say our clients, I mean, mostly the affluent and the upper mass are towards shifting into investment. So far in Greece, the mentality is that time deposits is really the camel to grave concept for capital presentation, whilst everywhere -- anywhere in mature markets in Europe. Obviously, this is not the case. It's just an instrument, which falls into the portfolio of liquidity management. That's why I think -- and as we very eloquently put forward in our Investor Day last year, Alpha Bank's positioning on the one hand is such that, it lends itself really to talk to these clients, because these are the customers that are on the one hand, wealth generative, but at the same time also from an educational point of view. More proponent in order to appreciate the concept and move towards that direction. Secondly, what we have done, this is again, in the very heart of the retail transformation that we are going through, increasing the number of RMs. And by the way, these RMs are going through appropriate exams here with the Bank of Greece. So it's not just that they receive a general education. They go into very particular tests as well. And we are constantly feeding the clientele with relationship managers. And ultimately, also we have an excellent product mix that we are putting forward. Our Alpha Asset Management has been for a number of years, leading in the market. And we also feel that our cooperation with UniCredit, both in terms of product and also in terms of sales techniques in the areas of mutual funds, as well as in the area of unit-linked products will allow us to accelerate that pace. Now in terms of potential upside risks for these years, I would say there are potentially a couple of things to look at. The first is that, we do expect the government to come forward as in any year, in the economic forum in Thessaloniki in September with its fresh agenda, which we understand that it may be well beyond the next year, but go all the way, presenting all the way the directional priorities, up until the end of the term. So that could be a new boost after an election year, for people actually do accelerate decision-making in their investments. So that could be indeed a fresh boost towards that. The second, which we referred to also in the past is that, now that the Greece is de facto in natural unemployment level, I mean in Greece, currently, everyone that wants to have a job, it has. And when you start looking towards a bit more specialized, there is -- actually that proves to be quite burdensome. So, from that point of view, the conditions for increased disposable incomes are here. What is still missing is a small bit of further confidence that the current improving condition for the households will continue over the political cycle. I think that's the one missing. And if you benchmark ourselves, for example, with Bulgaria, which is a country with a less mature financial market, and also significantly lower disposable incomes, their households are indeed making full use of the flexibilities that they have in order to structure their balance sheet. So, that, along with the new program, that will come from the government in order to focus on subsidizing mortgage loans for younger couples. I think could be important catalysts to revive also the area within the households and start seeing further pickup on that as well.
Iason Kepaptsoglou: We're going to take just one more question because we've run over. I know there's a few more left, but we can take them [Audio Gap].
Lazaros Papagaryfallou: There was a third question by [Nida] on the drivers for consumer demand, consumer loans. You have some macro drivers were supportive. Employment gains that Vassilios referred to, the increase in [indiscernible] income that we witnessed in the market, as well as the increase in tourism-related activities. So these are the main macro factors that stimulate the demand for consumer loans, plus the activity we see in some subsegments of consumer lending, for example, loans for cars. The car market is doing better. And obviously, we are becoming more active. As far as partnerships with retailers, we go deeper and wider on product development. Last, we are launching new partnerships for new products like, Buy now; Pay later with established retailers. So all of that is conducive towards more demand and more growth that is expected in the coming quarters and years.
Iason Kepaptsoglou: Okay. We take the final question then.
Operator: The final question is from the line of Nagel Alberto with Mediabanca.
Alberto Nagel: Yes. Just one on capital. Considering that the pro forma fully loaded CET1 ratio is already at 16.6%, -- why are you confirming the guidance for the full year at 16%. It's just the timing when you are closing depending on deals? Or are you expecting to be deploying this capital before year-end? And the second one, if you can just update us on the Basel IV impact, both on first day impact and fully loaded impact.
Iason Kepaptsoglou: Okay. I think Vassilios Kosmas will take the first question on the bridge for capital.
Vassilios Kosmas: So on your question for capital, you're right, put forward that we're currently guiding towards a 16% at year-end. Looking at the pro forma of 16.6%. The main difference of that has to do with transactions, which we currently feel will be closing towards 2025. A couple of examples of that, primarily the NPE transactions, we feel, from our point of view, we should be ready to close these transactions within Q4. So effectively structuring the deals, finding the investors [agreeing] documents. But on the other hand, we're not currently sure that the program will be approved by the authorities digital government and so it may lead to [indiscernible]. So we'd rather stay on the conservative and in that respect.
Iason Kepaptsoglou: And I'll take the more practical question on Basel IV. The impact is not a change. We see a day 1 impact of about 20 basis points that's coming up, and the fully loaded impact is close to 40 basis points. Obviously, that's going to take a very long time up to 2034 to filter through the numbers that we report to the supervisor. Thank you, everyone. I hope this has been informative. We wish everyone happy August. The IR department this year for anything that you need, and to follow up on the questions that remain. And we'll see each other either in London in September or in Athens or in Q3 results in November. Thank you.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for calling, and have a pleasant evening.